Operator: Thank you for standing by. Welcome to Q1 2025 Kingsoft Corporation's Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to turn the call over to Ms. Yinan Li, IR Director of Kingsoft. Thank you. Please go ahead.
Yinan Li: Thank you, operator. Ladies and gentlemen, good evening and good morning. I would like to welcome everyone to our 2025 first quarter earnings call. I'm Li Yinan, the IR Director of Kingsoft. I would like to start by reminding you that some information provided during the earnings call may include forward-looking statements, which may not be relied upon in the future for various reasons. These forward-looking statements are based on our information and information from other sources, which we believe to be reliable. Please refer to the other publicly disclosed documents for detailed discussion on risk factors, which may affect our business and operations. Additionally, in today's earnings call, the management will deliver prepared remarks in both Chinese and English. A third-party interpreter will provide its consecutive interpretation into English. During the Q&A session, we will accept questions in both English and Chinese with alternating interpretation provided by the third-party interpreter. On-site translation is solely to facilitate communication during the conference call. In case of any discrepancies between the original remarks and the translation, the statements made by the management will prevail. Having said that, please allow me to introduce our management team who joined us today. Mr. Zou Tao, our Executive Director and CEO; and Ms. Li Yi, our acting CFO. Now I'm turning the call to Mr. Zou.
Tao Zou: Hello, everyone, and thank you all for joining Kingsoft's 2025 First Quarter Earnings Call. We delivered a solid start to 2025 with steady performance. The group revenue reached RMB 2.34 billion, up 9% year-over-year. Kingsoft Office Group continued to focus on users, refining product experiences, strengthening WPS 365's leadership in enterprise collaboration, deepening AI integration in office productivity and expanding our global footprint. Online game business continues its primary game strategy with flagship IPs and new game genres developing synergistically. Now I will walk you through the business highlights of the first quarter 2025. This quarter, Kingsoft Office total revenue reached RMB 1.301 billion, marking a 6% year-on-year increase by proactively addressing market shifts, refining operational strategy and prioritizing the expansion of AI active users. We successfully gained growth in both our user base and paid subscription members. The WPS individual business generated revenue of RMB 857 million in first quarter, up 11% year-on-year. Domestically, the WPS individual business maintained steady growth, while overseas market achieved rapid revenue growth through the localized operations and differentiated feature offerings. As of March 31, 2025, WPS Office global monthly active devices reached 647 million, an 8% year-on-year increase, including 301 million monthly active devices for the PC version, up 11% year-over-year and 346 million for the mobile version, up 5% year-over-year. WPS 365 leveraged its 3 core capabilities, document management, collaboration and AI to continuously empower institutional clients in achieving digital and intelligent office solutions. The platform has accelerated its adoption among private enterprises and local state-owned enterprises, generating revenue of RMB 151 million in first quarter, a 63% year-on-year increase. In March, we launched an upgraded channel strategy for enterprise customers, established an integrated partner ecosystem for sales, service renewal to strengthen our presence in the enterprise AI office market. In April, we released an enhanced version of the Kingsoft government office model in Wuhan, introducing advanced reasoning capability to further drive the adoption of AI-powered government solutions across all levels of government departments. Under the guiding principle of primary game strategy, our gaming business remains focused on deepening the [indiscernible] of the classical JX series with expanding into new genres. This quarter, total revenue reached RMB 1.037 billion, a 14% year-on-year increase. In the first quarter, JX3 Online solidified its core wuxia player base through version updates and refreshed gameplay. In April, JX3 Online launched its new expansion pack type [indiscernible] returning to the core gameplay experience and reigniting player enthusiasm. For the anime shooter game Snowbreak, company's core product in this category remained a stable user engagement and positive reception, thanks to its differentiated content and long-term operational strategy. The sci-fi mech game Mecha BREAK garnered widespread attention from global players and the industry during its testing phase, peaked at 5th on Steam's’ global wishlist and is scheduled for release this summer. Additionally, Fate of Sword: Zero, a classical sequel to the JX series will carry forward the IP's legacy and is planned for launch at the end of May. Looking ahead, Kingsoft Office Group will remain focused on AI collaboration and global expansion, sustaining R&D investment to transform innovative technologies into practical office productivity tools for users. In gaming, we will [DeepSeek] ecosystem development for flagship IPs. We'll prioritize the emerging genres such as anime genre and sci-fi genres strengthening test, innovation capabilities to deliver more immersive and differentiated high-quality gaming experience for players.
Yinan Li: Next, I would like to invite Ms. Li Yi to introduce the financial performance for the first quarter. Thank you.
Li Yi: Thank you, Yinan. Good evening, and good morning, everyone. I will now discuss the Q1 financial results using RMB accounting. Revenue increased 9% year-on-year and decreased 16% quarter-on-quarter to RMB 2,338 million. The revenue split was 56% for office software and services and 44% for online games and others. Revenue from the office software and services business increased 6% year-on-year and decreased 13% quarter-on-quarter to RMB 1,301 million. The year-on-year increase was mainly attributable to the growth of WPS Individual and WPS 365 businesses, partially offset by the decline of WPS software business of Kingsoft Office Group. The steady growth of WPS individual business was mainly driven by the expansion of user base and paying subscribers, supported by operational strategies to boost AI active users and enriched membership benefits. The robust increase of WPS 365 business primarily reflected our continuous efforts of assisting institutional clients in digital and intelligent office, along with the accelerated coverage of private enterprises and local state-owned enterprises. The decrease of WPS software business mainly reflected the adjustment of new procurement process in localization in 2025. The quarter-on-quarter decrease was mainly due to the decreased WPS software business. Revenue from the online games and others business increased 14% year-on-year and decreased 20% quarter-on-quarter to RMB 1,037 million. The year-on-year increase was mainly attributable to the revenue contribution for anime game Snowbreak: Containment Zone and JX3 Online, as the launch of JX3 Ultimate in June 2024 enhanced player experience and boosted user growth and engagement. The quarter-on-quarter decrease was mainly due to the release of fewer commercial content updates for JX3 Online in the first quarter of 2025. Cost of revenue increased 6% year-on-year and decreased 7% quarter-on-quarter to RMB 419 million. The year-on-year increase was mainly due to the growth in server and bandwidth costs and rising channel costs associated with new games. The quarter-on-quarter decrease was primarily due to the decline in service cost of institutional clients and lower channel cost of Kingsoft Office Group. Gross profit increased 10% year-on-year and decreased 18% quarter-on-quarter to RMB 1,919 million. Gross profit margin increased by 1 percentage point year-on-year and decreased by 2 percentage points quarter-on-quarter to 82%. Research and development costs increased 16% year-on-year and 13% quarter-on-quarter to RMB 828 million. The year-on-year increase was primarily driven by the increased headcount and rising AI-related expenses to support the development of AI and collaboration capabilities of Kingsoft Office Group as well as enhanced investment in new game genres, in new game business. The quarter-on-quarter increase was largely due to higher personnel-related expenses, including accrued performance-based bonus. Selling and distribution expenses increased 30% year-on-year and kept flat quarter-on-quarter to RMB 340 million. The year-on-year increase was mainly driven by the greater promotional and advertising efforts in supporting testing and prelaunch activities of our new games. The quarter-on-quarter stability reflected increased marketing activities of new games, offset by reduced promotional spending of office software and service business. Administrative expenses kept flat year-on-year and increased 5% quarter-on-quarter to RMB 160 million. Share-based compensation costs decreased 30% year-on-year and 9% quarter-on-quarter to RMB 54 million. Operating profit before share-based compensation costs decreased 3% year-on-year and 44% quarter-on-quarter to RMB 655 million. Net other losses were RMB 22 million for this quarter compared with losses of RMB 4 million and RMB 74 million for the first and the fourth quarter of 2024, respectively. Share of losses of associates of RMB 153 million were recorded for this quarter compared with losses of RMB 169 million and RMB 148 million for the first and the fourth quarter of 2024, respectively. Income tax expenses increased 14% year-on-year and decreased 77% quarter-on-quarter to RMB 48 million. As a result of reasons discussed above, profit attributable to owners of the parent was RMB 284 million compared with profit of RMB 285 million and RMB 460 million for the first and fourth quarter of 2024, respectively. Profit attributable to owners of parent, excluding share-based compensation costs was RMB 316 million compared with profit of RMB 329 million and RMB 496 million for the first and fourth quarter of 2024, respectively. The net profit margin, excluding the effect of share-based compensation costs was 14%, 15% and 18% for this quarter, the first quarter and the fourth quarter of 2024, respectively. The group had a strong cash position towards the end of the reporting period. As at 31st March 2025, the group had cash resources of RMB 26 billion. Net cash used in operating activities was RMB 102 million for this quarter and net cash generated from operating activities was RMB 329 million and RMB 1,826 million for the first quarter and the fourth quarter of 2024, respectively. Capital expenditures was RMB 121 million, RMB 115 million and RMB 153 million for this quarter, the first quarter and the fourth quarter of 2024, respectively. That's all for the introduction of our financial results. Thank you all. Now we are ready for the Q&A session.
Operator: [Operator Instructions] Our first question comes from the line of Xiaodan Zhang from CICC.
Xiaodan Zhang: First of all, as Season Games has just celebrated its 30th anniversary, so could management share your views on the strategic plans for gaming business going onwards? And also any updates on the launching schedules for Mecha BREAK? And secondly, could management update on the overseas business of WPS Office business?
Tao Zou: Okay. So firstly, I would like to do the answer regarding the first question. So actually, for the Seasun ones, this game we have -- has been passed for 30 years. It's a very good topic. Internally, we have discussed several times as well. So for this 30 years anniversary, I would like to share about my own opinion. The key thing is that how we can transfer this successful experience to the future, especially for the Seasun ones in the past 30 years. We restored the development of the whole game. We have some breakthroughs, but how we could make this continue in the future, this is going to be the core thing. I think that firstly is that the passion, we love it very much, and we have to work hard on it. From the strategy, there are 3 points. The firstly is that we need to follow the principle to make the good quality game. And secondly is that we need to do the martial arts better, except for -- to do the martial arts better, we also have to develop the other categories. The year before last year, we have like released another game. And this year, we're going to continue to have this restriction limitation. So we think that the categories of the game should not limit it for the martial arts. We need to have multiple different type of games. And thirdly is that we need to make it internationally. In the past for the Seasun ones especially in the 20 years anniversary, we have mentioned that our product, we only focus on this China culture for the martial arts part in other players, the targeted players is mostly in China and also the Chinese in overseas and also the Southeastern countries. So generally speaking, the main players are in China domestic market. In the future, we need to target for the whole global market. We need more actively to develop this market. So this is the ever things. We need to have a passion. We need to work hard, and we need to have a good quality products. And then multiple categories, internationalization. So basically, this is the future, the next stage, the development principle and ideas, we think. And secondly is that regarding the restriction breaker. So we -- our initial plan is that after the test of March, we internally did some like test and we collected some opinions from the players. We did some modification. So basically, we're going to release it in July. But at the beginning of June, we're going to organize an official announcement. And during that official announcement, we're going to mention the exact time, what time and which country we're going to release and what type of content we're going to release. So basically, based on that official announcement. So currently we can say is that basically, we're going to launch in July. So the second question is regarding the officing. So it's a choosing that for the whole officing this year, the core strategy and also the future, how many years we're going to continue. Basically, we're going to last on the AI collaboration plus the overseas. Especially overseas, this is the first time to clearly mention after 2018 because as we know that in 2018, they were blocked as first paused. But this year, we reminded this word, which is the overseas strategy. So regarding that, I would like to explain in 2 perspectives. One is the product perspective, the other is operations perspective. For the product, we need to make a multiple language version target for the region we're going to working on in the future. We're going to complete the multiple language version, including that we're going to have the comprehensive like bilingual -- multiple lingual versions in terms of the products and also to have -- make it like easily to connect with the other things. And currently, we can see is that basically, we can complete that in the middle or the end of June, and we can complete the multiple language version. This is from the product perspective. For the operations perspective, so that is quite a lot of content because in the first and second year, basically, we have selected the regions and we analyzed our competitors and we have the strategy with the different strategy and also the combined to have a good organization for the whole team. We think that in June, we can complete all of that. But for the details, we believe that in June, when the time is good for us, we could have a further communication with our investors. So this is target for this officing overseas content. Another thing we would like to add is that not only for the officing, actually in the past, the overseas is actually have a very strong ability for the safe growing and a lot of the Chinese companies, they would like to go overseas. We think that this is going to be a very good opportunity because we're going to fully consider that we're going to combine together with the other Chinese companies because we believe that if some of the regions, we have a very good influence over that, probably we could have a combined together with the other Chinese companies, then this is going to be a very important consideration we would like to target for and make it into our strategy.
Yinan Li: Operator, we are ready for the next question.
Operator: Our next question comes from Wenting Yu from CLSA.
Wenting Yu: The first question is regarding the Mecha BREAK. Since the last testing, could you please elaborate a bit more on what major optimization and changes have been implemented in this title? And how do you expect the performance post launch? And the second question is, could you please share the recent trends in the active user base and ARPU of the JX3 title? Considering the upcoming high base effect in the second half of the year, how do you foresee JX3's revenue growth and the potential impact on our gross margin and operating margin?
Tao Zou: So we would like to answer your question regarding this restriction breaker. And we actually did the test. It's not a public test. This we can see is like limit -- like extremely limit test. So based on that, we have -- we are currently doing some modifications in different parts. First is the [buck] So after we did the test, we realized that something is not matched with our initial design, either programming perspective or whatever. So we're going to do this modifications accordingly. Secondly is from the design perspective, like, for example, the balance and also the playability and the durability. So we're going to, based on their test results from the -- to do some adjustment, based on like underlying design. And so like thirdly is that based on the players' experience. Like, for example, some players told us that for the [12 mega] it could be -- enable for them to collect it freely so that they could be able to play it when they start to play instead of wait for several times, then they could be able to get it. In that case, they can give a better experience for the players. And also for the [indiscernible] module, we also need to do some modification because we get the information that is going to influence their needs. So we're going to do this adjustment. And after launching and we're going to -- for their activities, we're going to -- we hope that we're going to have more activities to make the content more richer. So which means that after the previous test, we are -- this is kind of the job we are doing and also the content we would like to modify. We -- regarding the expectation, actually, in our internal group, we have the basic line, we have middle line, we have higher line. But for the game, I always would like to give you -- give people a surprise instead of bad news. So I still would like to wait until July when the game is officially released, we're going to give a more accurate, more reasonable, better results and also the performance is conclusion for the whole year. So actually, regarding the JX3, since Q1, the whole like monthly active players and also the value basically is quite good. But compared with Q4 of last year, so like year-to-year, it's a slightly decrease. That is very common because for Q4, that is the biggest, most busy season, and we're going to get the highest income during the whole year. So from the data perspective, generally speaking, it's quite stable. And secondly is for the second half year, actually, I have at least answered 5 years that I still can remember since 2009 when it's officially launched during that time up now has already been passed for 16 years. And since the 10th year, almost every year, either the analysts or the investors is going to ask this question because they think that for such a long time, why you still have the confidence that you can make it better and make it higher, better results and better performances. And even last year, we also asked about the same question, 2024 compared with 2023, because we know that 2024 is already the highest value historically. I would like to say that the challenges still exist in the past 16 years. So whether the players would like to recognize it, whether the players still care about this type of game, it's going to have some technical and ways to do that. Up to now, we can say is that we still have the confidence to do it, and we're going to stably and operate properly for JX3. Of course, we cannot 100% to give the whole market any certain promise because it's the same thing is that last year, at the beginning of the year, when we had communicated with market, our kind of the guidance was not that high. We didn't have a very high expectation for last year. But when it's complete of last year, it's quite good performances. So the reason is the same because for the game, it has a lot of uncertainty, no matter for the uncertainties coming from ourselves, like, for example, we're going to have a new version, we're going to have the new content, how much it's going to attract the players. And we're going to have a lot of the internal elements. And also externally, we also have a lot of challenges there, whether there is some new type of games launching into the world, whether they're going to have some challenges, whether the players themselves, they are tired of this type of martial arts games. So generally speaking, internally and externally, there are a lot of uncertainty. But anyway, we have the confidence to operate JX3 good and rare.
Wenting Yu : Xiaomi has recently breakthrough in AI self-developed large models. Is there an opportunity for Kingsoft to collaborate with Xiaomi in the AI field? And what potential forms could this cooperation take?
Tao Zou: So okay. So this is going to be a very good question. It's kind of strategic levers question. Last year, in the beginning of last year, I have talked to the outside. I always frequently mentioned that reached to the 2023, the whole Kingsoft software, so including the office, including the cloud, we're going to target for AI. That is what we call them all in. So -- in 2024, in June of 2024, Xiaomi actually officially announced that they're going to based on AI as a -- AI as a core development strategy. So basically, since Q3 of last year, I mentioned to the external world is that basically we have completed the lay series AI layout for the big module, for the [lay] series enterprises, we're going to based on Xiaomi as a core and cover of the officing, the gaming and collaboration. In the future, we're going to based on the core Xiaomi's big model to open their up-level application. So basically, the whole [lay] series enterprises going to have this type of the layout for their AI strategy. That is why for this type, just now I have mentioned that. I understand for the Kingsoft is a whole group -- the Kingsoft Group, including the cloud, including office, including game, the whole group. We have officially set up the AI product center on the 31st of March. So during the road show in March, I discussed with several of our investors, the AI in the future is going to be the core power for the enterprises in the future. So my understanding is that basically all of the digital systems has to be rewritten by AI. However, some of the enterprises, their company has -- their company themselves has a very strong ability for the IT ability and AI ability. So themselves could upgrade themselves. But still, we have a lot of enterprises. They don't know how to get the value from AI. They cannot get the empowering from AI because they don't have the ability for the AI. So they have no idea how to -- they could have like empower themselves. So in that case, we think that we need to have -- like we believe that in the future, we're going to target for those type of customers. And we need to firstly empower ourselves. We need to understand how to empower for the other enterprises. So that -- but the way we need to do is that we're going to do our work. We need to -- before we empower the other people, we have to empower ourselves -- for the whole Kingsoft group, we need to as quickly as possible to have the upgrading of ourselves. During the whole process, we're going to understand and control of -- we know exactly how we could get the empower through AI. And after we complete that part, we're going to get the common things from this process, like different modules and different products, how we could have the empower for the other enterprises. Then we can add this into our service to finish the whole complete AI. So the module is going to be the Xiaomi, and this is the basic logic and the up level application, we're going to have this Kingsoft whole group is like the officing, the game, everything else. And we're going to focus in on the empower enterprises using AI. So this is going to be the breakthrough in the future. And as I mentioned previously that we need to upgrade ourselves, then we could be able to empower the other enterprises. So this is the whole ecosystem, the whole AI ecosystem strategy for the [lay] series. For the details, we have mentioned previously is that we need to intelligent -- make ourselves intelligent enough, then we could be able to empower the other enterprises. This is actually when we have a better like next step progress where we have more collection, then I would like to share with us more.
Operator: Thank you for the questions. With that, I would like to hand the call back to the management for closing.
Yinan Li: Hello. Thank you for joining us today, and this will conclude our presentation for the 2025 first quarter earnings call. Thank you.
Operator: That concludes today's conference call. Thank you for your participation. You may now disconnect your lines.